Operator: Good day everyone, and welcome to Steelcase's first quarter fiscal 2010conference call. (Operator Instructions) For opening remarks and introductions, I would like to turn the conference call over to Mr. Raj Mehan, Director of Investor Relations; please go ahead, sir.
Raj Mehan: Good morning everyone. Thank you for joining us for the recap of our first quarter fiscal year 2010 financial results. Here with me today are Jim Hackett, our President and Chief Executive Officer; David Sylvester, our Chief Financial Officer; Mark Mossing, Corporate Controller and Chief Accounting Officer; Terry Lenhardt, Vice President, North America Finance. Our first quarter earnings release dated March June 23, 2009 crossed the wires early this morning, and is accessible on our website. This conference call is being webcast. Presentation slides that accompany this webcast are available on www.ir.steelcase.com, and a replay of this call will also be posted on the site later today. In addition to our prepared remarks, we will respond to questions from investors and analysts. Our discussions today will include references to non-GAAP financial measures. These measures are presented because management uses this information to monitor and evaluate financial results and trends. Therefore, management believes this information is also useful for investors. Reconciliations to the most comparable GAAP measures are included in the earnings release and webcast slides. At this time, we are incorporating by reference into this conference call and subsequent transcripts the text of our Safe Harbor statement included in this morning's release. Certain statements made within the release and during this conference call constitute forward-looking statements. There are risks associated with the use of this information for investment decision-making purposes. For more details on these risks, please refer to this morning's release and Form 8-K, the company's 10-K for the year ended February 27, 2009, and our other filings with the Securities and Exchange Commission. This webcast is copyrighted production of Steelcase, Inc. With those formalities out of the way, I’d like to turn the call over to our President and CEO, Jim Hackett.
Jim Hackett : Thank you Raj and good morning to everyone, I am pleased to report that Steelcase continues to weather this incredible series of economic challenges. In fact I tell people in the elevator that we are a very good company in a very, very difficult economy. We are reporting a better then expected quarter as we’re coming off a strong NeoCon Show last week and although uncertainty remains high, there are signs that the worst of this recession is starting to stabilize. Given the question of how the world comes out of the recession, we’re working hard to be agile and fit to various outcomes. Earlier this morning I put out a note to our employees around the world to address what seems like a contradiction in our announcement today. Things are looking up, yet we’re also announcing additional cost reduction actions including job reductions. So I want to share some of those same thoughts with you. I know some of you who follow our company were also at NeoCon last week, this is our annual trade show for the whole industry held in Chicago’s merchandise market. Steelcase Inc. won five product and two showroom awards, including some awards for non-traditional products from our Coalesse brand and our Turnstone brand. Overall attendance was lower then the previous two years, but we still had a steady flow of serious customers in our showrooms. Our federal government and healthcare sales teams were especially busy. I also want to point out that the financial services industry which we have discussed on some of our past calls, is one of our larger customer segments and yes, as you would expect, it has been effected by this downturn. In fact it has been dramatic. But here’s the part of the story that may be isn’t being told. We’re working hard to help many of these financial companies consolidate, be smarter about the use of space, and create environments that help connect. That’s the story we told at NeoCon this year and it continues to resonate. Among the other themes at the show, there’s a continued focus on sustainability and that can only be good for Steelcase, because we have a very, very strong story about sustainability. Seven of our products have already earned the new BIFMA certification. This will bring consistency to how we measure environmental performance in this industry. But now we move forward from NeoCon to today’s announcement of a break-even quarter, when we have anticipated a loss. We didn’t want a loss, we don’t like a loss, but we had anticipated that given the prospect of volume dropping. As David will detail in a moment, revenue significantly declined compared to the previous year, but we saw a better then expected cost control activities. We have worked so very hard on this. I’m happy to declare the impact of that savings and most of all thank employees for their sacrifices. There’s another reason that we exceeded expectations. We had been conservative about what to expect from our COLI investments. It negatively impacted our performance in Q3 and Q4. Remember that COLI is company owned life insurance and those investments, along with the rest of the market outperformed our estimates. As I wrote to our employees today, things are looking up, are additional cuts really necessary. You know, it’s a fair question and a bit paradoxical. But I believe the answer is yes and in order to preserve our ability to grow in the future and because there’s still a great deal of uncertainty in the market, we’ve got to take these actions. We’ve identified an additional $30 million in annualized cost reduction this year through a combination of headcount reduction, suspension of the company’s annual retirement contribution, and additional consolidations of some smaller manufacturing facilities. You will recall that this is on top of previous actions detailed in your webcast slides. We recognize the need to reinvent our processes and structures so that we can continue to execute our strategies with the smaller workforce. We’ve been working on that for more than a year. We have some successes and there is more work to do. So in summary, we feel that we’re building momentum but we know that it will take time to come all the way out of this recession. We’re taking additional steps aimed at staying profitable and preserving cash balances at the reduced level of revenue. Now I’ll turn it over to David Sylvester, our Chief Financial Officer, for additional detail on our performance this quarter.
David Sylvester : Thank you Jim, today we reported break-even net income for the first quarter of fiscal 2010 which was significantly better then the estimated net loss of $0.13 to $0.23 per share we communicated last quarter. Before I dive into the details let me try to net out the story as follows. The headline is clearly that results exceeded our expectations and COLI played a large role, both by delivering $16 million more then we would typically expect in a quarter and also by playing a large role in the estimation of our 100% effective tax rate for the quarter. Beyond the headline however, there are two additional points of significance. First on a volume-adjusted basis relative to our revenue estimates for the quarter, and after setting aside the additional COLI gains, one might have expected our adjusted earnings to have fallen closer to the middle of our estimated range. But strong cost control efforts served to offset the volume impacts. And second order patterns were volatile in the middle of the quarter. And while we are seeing some positive indicators in support of a potential economic recovery later this calendar year, signals remain mixed and thus uncertainty remains high. Therefore in pursuit of our target to protect our growth initiatives and remain modestly profitable at the operating income line before restructuring costs, we decided to take additional actions which included elimination of any contribution to the Steelcase Inc. retirement plan for fiscal 2010, further reductions in our white collar workforce by approximately 200 positions globally, and the continued consolidation of a number of smaller manufacturing facilities across our global operations network. Now on to the details, revenue of $546 million was within the estimated range of $525 to $575 million published last quarter. As further detailed in our webcast slides, the comparability to last year’s impacted by divestitures completed during the last 12 months and negative currency translation effects in the current year. Adjusting for these factors, we estimate the decline in organic revenue or same store sales approximated 29%. This decline was broad based significantly effecting most segments, geographies, vertical markets, and product categories. The operating loss before restructuring costs of $2.4 million in the current year compares to $44 million of operating income in the prior year. This $46 million decrease was largely driven by lost contribution margin relative to our fixed costs, associated with the $270 million in revenues. Decreased variable compensation expense or employee bonuses, softened the contribution margin effect of lower volume as bonuses vary with levels of profitability and EVA and accordingly were reduced by approximately $19 million in the quarter as compared to the prior year. Other factors which offset a portion of the negative volume effects included benefits from recent restructuring activities and strong cost control efforts, higher COLI income compared to last year of $15 million, temporary reductions in employee salaries and retirement benefits which took effect March 2nd and totaled approximately $10 million in the quarter, lower commodity costs of approximately $6 million compared to last year, and improved price yield from customers continuing to migrate from old price lists. We have nearly completed all of the restructuring actions announced last March as well as the headcount reductions announced in early December. Each targeted to reduce our annualized operating costs by approximately $40 million or $80 million in total. In addition the reductions to employee salaries and changes to retirement benefits announced in February and again today as it relates to retirement contributions, were implemented with an effective date at the start of the fiscal year. With today’s announcement of additional reductions in our white-collar workforce and the continuation of various smaller facility consolidations, we have increased the estimated structural or longer-term benefits from our restructuring actions to approximately $100 million annualized. In addition we now estimate the annualized savings related to temporary reductions in employee salaries and retirement benefits to approximate $35 to $40 million while they remain effective. For your reference we have included a supplemental webcast slide which summarizes all of the actions we have taken since the start of the downturn. Total pre-tax restructuring costs for these actions are expected to approximate $25 million for the full fiscal year 2010. For COLI consistent with the overall performance in the equity markets our cash surrender values increased this quarter following significant declines in the third and fourth quarters of fiscal 2009. Our earnings estimate for the quarter contemplated a $2 million increase in COLI consistent with what we would normally expect over a longer-term investment horizon. Other income and expense in the quarter included $2.4 million of net gains related to various non-operating investments, offset by a $2.5 million charge recorded in connection with the liquidation of an unconsolidated joint venture. The income tax benefit recorded in the quarter approximated the loss before income taxes. The resulting effect of tax rate of 100% was driven in large part by significant non-taxable income from COLI. While we continue to estimate our longer-term effective tax rate will approximate the mid 30’s, the impact of tax credits, potential changes in valuation allowances, and non-taxable items like COLI can have significant impacts relative to lower levels of pre-tax income or loss amounts. Next I’ll talk about the balance sheet and cash flow, our cash and short-term investment balances approximated $118 million at the end of the quarter, a $75 million decrease from the end of fiscal 2009 but in line with our expectations. Consistent with last year we have a significant use of cash related to changes in operating assets and liabilities. This is a normal seasonal change resulting from cash payments in the first quarter of each fiscal year associated with variable compensation, contributions to employee retirement funds, and other employee benefit obligations. Capital expenditures totaled $23.9 million during the first quarter, including the final progress payment of $13.5 million related to the purchase of a replacement aircraft. We took delivery of the new aircraft in April, trading in our existing aircraft with the manufacturer for $18.5 million. Looking forward we are targeting capital expenditures of approximately $10 million per quarter for the balance of fiscal 2010. During the quarter we paid dividends of $10.7 million or $0.08 per share and we repurchased one million shares of common stock at a total cost of $4.3 million or at an average price of $4.28 per share. As of the end of the quarter we had $211 million remaining under the $250 million share repurchase authorization we announced in December, 2007. As of the end of the first quarter our total liquidity position includes $118 million of cash and short-term investments, $190 million of COLI cash surrender value, and approximately $179 million of borrowing capacity under our unsecured credit facility. In order to further enhance our liquidity position, we completed a $47 million financing shortly after quarter end through the support of various banks who participate in our revolver, plus Wells Fargo who led the transaction. The financing is secured by our corporate aircraft and includes variable interest at 335 basis points over 30 day LIBOR, and a 20-year monthly amortization schedule with a $30 million balloon payment due in seven years. There are no financial covenants, cross default considerations or material adverse change clauses. However this financing does increase our level of long-term debt which when coupled with our declining trailing four quarter [inaudible] in this recession, could significantly reduce if not eliminate our current borrowing capacity under the unsecured revolver depending on future results. But at the same time we do not anticipate any need to access the revolver in the near-term. Accordingly we continue to maintain a strong liquidity position. Now I will discuss the quarterly operating results for each of our segments in the North America category. North America revenue decreased by 32% compared to the second quarter of last year. Prior year included $9 million of revenue related to custom cable which was subsequently divested in July, 2008. In addition the current quarter included $6 million of unfavorable currency translation effects compared to the prior year. Adjusting for the negative effects of the disposition and currency translation in the current year, we estimate the organic decline in the North America segment approximated 30% in the first quarter which was consistent with the down 25% to 30% range we estimated during last quarter’s call. As many of you know incoming order rates within our industry typically hit a seasonal trough in January before rebounding through the spring months. We saw strong signs of that in February and into early March as orders strengthened, thanks to improved project business across several vertical markets. However towards the end of March and throughout most of April volatility returned and orders softened considerably consistent with the April BIFMA data. Thereafter orders re-stabilized and have since been seasonally building through mid June. As a result of these order patterns during the quarter total orders were down approximately 37% and ending backlog was down approximately 31% compared to the prior year. The May uptick in orders drove the first meaningful increase in backlog in several months. The significant decline in orders during the quarter was felt across most regions, vertical markets, and product categories. In addition we experienced deeper declines in day-to-day business compared to project related revenue. Lastly while order rates from the federal government remain strong, we experienced declines within the state and local government, higher education, and healthcare vertical markets, albeit to a much lesser extent then the rest of our business. Despite the weaker order patterns we continue to host many visits from current and potential customers particularly in the healthcare and higher education vertical markets and we have also hosted many A&D fly-ins in an effort to deepen their knowledge and understanding of our major new products and related insights. In total, the number of visits to Grand Rapids during the first quarter exceeded the prior year by approximately 10%. Operating income excluding restructuring costs decreased by $24 million to $14.2 million or 4.8% of sales compared to the prior year. The positive effects of cost reduction efforts, higher COLI gains, lower commodity costs, and improved price yield were not enough to offset the negative contribution margin effects of lower revenue which totaled $137 million in the quarter. When considering price yield remember we discontinued our commodity surcharge during the fourth quarter of fiscal 2009. Operating expenses in North America decreased by approximately $27 million compared to last year primarily due to lower variable compensation expense of $8 million, higher COLI gains of $6 million, benefits of restructuring activities and cost control efforts, and temporary reductions of employee salaries, and retirement benefits approximating $4 million. In addition the divestiture of custom cable in July, 2008 had the effect of lowering operating expenses by approximately $1 million. In the international segment sales decreased by 40% compared to the prior year quarter. Currency translation effects and divestitures in the last 12 months had the effect of decreasing revenue by approximately $36 million as compared to the prior year. Adjusting for the negative effects of currency translation and divestitures we estimate the organic decline in the international segment approximated 30% in the first quarter which was consistent with the down 25% to 30% range we estimated during last quarter’s call. International orders adjusted for currency differences and divestiture impacts declined at a similar pace compared to the prior year or approximately 32% in total. Our largest markets, France and Germany, declined less then that but for two different reasons. For France they are beginning to lap prior year declines as they entered the recession early, while for Germany, they are in different stage of the decline where in the fall off in day to day or continuing business remains partially propped up by remaining project activity. The Spanish and UK broader economies seem to be in similar states as France, beginning to lap the start of the recession. But orders in these markets were nevertheless down significantly again this quarter, and we continue to experience significant declines in many of the emerging markets across Eastern and Central Europe, Latin America, and Asia Pacific. International reported an operating loss excluding restructuring items of $5.9 million compared to operating income of $12.7 million in the prior year. The $19 million decrease was largely driven by the reduction in volume which adjusted for currency translation effects and divestitures approximated $65 million. Cost reduction efforts were only able to offset a portion of the loss contribution margin from reduced revenue. The $20 million decrease in operating expenses reflected approximately $10 million from favorable currency translation effects and the impact of divestitures completed within the past 12 months, plus various benefits from cost reduction efforts and the nature of sales commissions and other variable expenditures. The other category which includes the Coalesse group, PolyVision, and IDEO reported revenue of $100 million in the quarter or a 25% decrease compared to the prior year. The decrease in revenue included the effects of our decisions during fiscal 2009 to exit a portion of PolyVision’s public bid contractor whiteboard fabrication business and the transfer of premium whiteboards and certain other product lines to the Steelcase brand in the North America segment. In addition we experienced a 27% decrease in revenue in the Coalesse group as well as decreases at IDEO and in the remaining revenue of PolyVision. The other category reported a $6 million operating loss excluding restructuring costs which compares to a $1 million operating loss last year. Loss contribution margin associated with the decline in revenue was partially offset by the benefits of restructuring actions and various cost control measures implemented last year. We are still experiencing disruption associated with the consolidation of manufacturing activities in the Coalesse group and thus believe additional benefits may accrue over the next few quarters. In addition PolyVision recently finalized the sale of its remaining public bid contractor whiteboard fabrication business in North America. The purchaser is an existing vendor of PolyVision’s ceramic steel surfaces business with whom we hope to expand our relationship in the years to come. The sale includes inventory and backlog only, and thus we expect to incur restructuring costs in the second quarter associated with the closure of the small manufacturing facility. Now I will review our outlook for the second quarter of fiscal 2010. As we have said during each of the last two calls, there is always uncertainty associated with providing revenue and earnings guidance as our quarter end backlog of orders is only a piece of anticipated quarterly revenue and the uncertainty is obviously at a higher level then normal given the current economic environment. Nevertheless we feel it is important to share our current best estimates even though the potential volatility around these projections remains high. Overall we expect revenue to approximate $600 million compared to $902 million in the prior year which was the highest quarterly revenue in more then five years. The second quarter estimate takes into consideration the following factors. First based on exchange rates at the end of the first quarter our second quarter revenue estimates contemplate $35 million of unfavorable currency translation effects compared to the prior year. Second, we estimate the effect of divestitures to reduce revenue by approximately $5 million in the second quarter compared to the prior year. Third, revenue estimates in the second quarter for North America are based on the continuation of recent order patterns which have shown signs of seasonal improvement in the past several weeks. Fourth, revenue in the international segment stated in local currency is estimated to decline in the second quarter somewhat less then the first quarter order patterns we experienced as we expect to ship a few large projects from backlog during the summer months. Taking into account our revenue estimates the status of our cost reduction actions and additional commodity cost deflation which is estimated to decrease our global costs in the first quarter by approximately $10 to $15 million compared to a very high prior year. We expect to report approximately break-even operating income excluding an estimated $10 million of pre-tax restructuring costs, as well as approximately break-even net income for the second quarter of fiscal 2010. The second quarter net income estimate assumes we’ll record a tax benefit using an effective tax rate similar to the first quarter which again remains highly sensitive to changes in estimates related to non-taxable items like COLI in relation to relatively small pre-tax income or loss amounts. We reported net income of $31.4 million or $0.23 per share which included $9 million of pre-tax restructuring costs in the second quarter of the prior year. As we indicated in the release we are not providing full year revenue or earnings guidance, however we have modeled various scenarios of revenue declines for fiscal 2010 along with the expected benefits of our cost reduction efforts and the reversing trend of commodity costs in recent months. We currently estimate that operating income for the full fiscal year excluding restructuring costs could stay modestly positive provided that revenue declines do not exceed 25% compared to fiscal 2009, which began to reflect the recessionary declines in the third and fourth quarters. These estimates are contingent on the successful completion of our current restructuring actions over the balance of the year, the implementation of salary reductions and employee benefit changes for the full fiscal year, and net benefits from current deflationary trends. While the last decade has forced us to manage through two unprecedented recessions in our industry, the company’s industrial model is dramatically less vertically integrated and our top line is much more diversified then it was just five to seven years ago, and at the same time our balance sheet remains strong. While fiscal 2010 will undoubtedly stress our bottom line relative to the past several years which reflected continuous improvements, our strategy remains unchanged and we intend to stay focused on our longer-term growth initiatives as this business cycle like all others will pass and when it does we intend to be on the same track we have been on for more then five years; the track of expanding our operating margins through various operational strategies and the track of strengthening our top line through various growth and diversification initiatives. Now we’ll turn it over for questions.
Operator: (Operator Instructions) Your first question comes from the line of Mark Rupe - Longbow Research
Mark Rupe - Longbow Research: Just a quick housekeeping question on the restructuring that you announced this morning, when will we start to see the benefit of that?
David Sylvester : On the webcast slide you will notice that we broke the restructuring benefits into two buckets, the temporary which is associated with the retirement plan contribution elimination of $10 million, that went into effect at the start of the first quarter. And the remaining $20 million are spread over the balance of the year. What I would tell you is that we roughly would say that we will implement 40% of the actions throughout the second quarter, maybe another 40% in the third quarter and probably the final 205 in the fourth quarter. So you’ll start to see benefits in the third and fourth quarter and into next year.
Mark Rupe - Longbow Research: Okay and then just sort of, I mean clearly you have done such a phenomenal job of cutting costs throughout the downturn are there more opportunities out there if this does go on longer then we’re expecting right now.
David Sylvester : I would tell you that the way we are running the company right now is we, as we implement our contingency plans we build additional contingency plans. So we’re, we will be prepared to take additional actions as necessary. The big question is where does it go from here. And its still pretty fuzzy out there so I’ll stay away from given kind of a perspective on the full fiscal year. We’ve gone a heck of a lot very quick already.
Operator: Your next question comes from the line of Budd Bugatch - Raymond James
Budd Bugatch - Raymond James : Couple of questions, could you quantify for us the pricing benefit that you saw in the quarter in isolation not including the commodity deflation and I guess we’re getting fairly close lapping that price increase that I think was maybe second quarter of last year, so how much longer will we expect that to persist.
David Sylvester : I guess what I would tell you is that the pricing benefit in the quarter was modest. It was related to us continuing to move customers from old prices lists. And you know how that works in our industry so you kind of each quarter have a little bit of opportunity to do that and we accomplished some of that again in the first quarter. Going forward its competitive out there so I’m going to stay away from any kind of outlook on what we might expect.
Budd Bugatch - Raymond James : Fair enough and in regards to your debt covenants, I think if I remember correctly you’ve got a 3:1 maximum leverage ratio, first confirm if that is correct and if so, could you share with us exactly how the components of that are calculated and maybe where you stood at the end of the quarter.
David Sylvester : Well you’re right, they are 3:1 and it is debt to EBITDA and the debt levels include outstanding letters of credit and so the first number is in the, a little over $300 million and the EBITDA calculation, I’d have to pull out the bank agreement because its quite long and complicated but generally it takes pre-tax income or loss, it excludes interest expense and depreciation and amortization and any large non-cash charges.
Budd Bugatch - Raymond James : And then going along that maybe with the cash flow theme, you talked about $10 million a quarter in CapEx for the rest of the year, what do you think D&A will be and if you assume sort of a 25% down sales numbers, where would you think working capital would come in and then what would the priorities for cash flow be at that point.
David Sylvester : You may have to remind me as I go through this, all those questions, so I’ll start with D&A for the balance of the year, I don’t really see any dramatic reason why it would be different then what we saw in the first quarter so I think it was a little less then $20 million. So that’s probably reasonably safe. On working capital, well its going to vary a little bit. Typically we would see Q2 and Q3 be the stronger quarters of the fiscal year and then Q4 falls off a little bit. So from here to the end of the fiscal year I would imagine we would use a little cash and convert it into working capital, so receivables might go up a little bit if we were down 25%. And what was your other question?
Budd Bugatch - Raymond James : Last was priorities for cash, what do you do with cash generation here.
David Sylvester : Well there’s nothing different in how we think about it. I would tell you that we continue to reinvest in the business. We’ve said since day one or even minus day five, before the recession hit as we knew it was coming that we were going to do everything we could to protect our growth initiatives and to maintain some powder on the balance sheet just in case there was an opportunity that we wanted to take advantage of. So that’s going to always be our first priority and beyond that we’re going to continue to target paying a strong quarterly dividend to our shareholders and returning cash in other ways like through repurchases.
Operator: Your next question comes from the line of Matt McCall – BB&T Capital Markets
Matt McCall – BB&T Capital Markets : Just following up on that last question, hopefully this won’t count on my two but of the charges what is cash and what is non-cash for the rest of the year.
David Sylvester : Well I’ll defer to Mark but I think its largely cash.
Mark Mossing : Yes for the most part, it would be cash. Obviously there’s no charges associated with the reduction of the contribution but over time it will end up being converted to cash so that 20 to 25 will turn into cash eventually.
Matt McCall – BB&T Capital Markets : Okay just looking at the EBITDA calculation, and then you said that you’ve run several models and the down 25% gets you a modest profit, in that same scenario or using a different scenario what does down 20% to down 30% look like trying to understand the variable contribution margin at this point.
David Sylvester : We’d be more profitable at down 20% and less profitable down 30%.
Matt McCall – BB&T Capital Markets : Any more granularity please.
David Sylvester : You just used a question on that one.
Matt McCall – BB&T Capital Markets : I know, you didn’t answer it so let’s—
David Sylvester : You know the way our contribution margin historically has worked, in the 35% to 40% range. We’ve think we’re closer to the high end of that range right now especially as profit sharing has been pulled down to zero and bonuses are significantly less. But that’s about all I’m going to give you. We’re, our employees positively surprised us in how well they maintained our costs and reduced some of our spending that we weren’t even anticipating was going to be reduced so it remains to be seen just how well we can continue to manage when you’ve got several thousand people all working toward the same objective.
Matt McCall – BB&T Capital Markets : And then you talked about protecting your growth initiatives, you’re taking out 200 additional heads and then can you talk about where those are focused and just trying to understand how you’re going to protect the growth initiatives making sure those aren’t focused on any of those areas.
Jim Hackett : I think that that’s the work that we’ve started with, the executives, so it’s a little premature but I would say that because we’ve got the experience of doing this before, you could see more then half of that kind out of North America in the support functions and the other half out of the global side of, the international side of the business. And in doing that what we find is that we’re able with the shared service structures that we’ve built to take what was dedicated to one geographic region in the past and now put it in the shared setting and have it apply across the broader part of the world. And so that’s one way we’ve been able to achieve some of the results. Regarding the focus on the future investments and the innovation, much of the work that we protected so far has been things that have been multi year efforts and so there you make a lot of progress in prototyping and design and so we’re seeing those through and the teams that are assembled for that might lose a person or two but the initiative would go on. And so we’re able to kind of declare as David said that that would continue.
Operator: Your next question comes from the line of Todd Schwartzman - Sidoti & Company
Todd Schwartzman - Sidoti & Company: On the gross margin sequentially was up 160 basis points I think it was from Q4 on volume that was $100 million lower, can you talk about what role or what size role input prices played in that and what other factors were responsible and also how much, what continues from here for the balance of the year.
David Sylvester : I have to answer that by asking a few questions of clarity here, are you talking about just what we’ve reported or are you adjusting it for COLI, and other factors when you referenced the sequential improvement.
Todd Schwartzman - Sidoti & Company: Well maybe you can refresh on an as adjusted basis, what do you see as the sequential change.
David Sylvester : I don’t have that quantified in front of me. The thing I would tell you, remind you of is in the fourth quarter we had large COLI charges or additional COLI charges, and in the first quarter we had COLI benefits. We also had the tail end of inflation I think in the fourth quarter which flipped to deflation in the first quarter. The base salary reductions that we implemented as well as the restructuring actions that we continued to implement, so there’s a lot going on in that sequential reference.
Todd Schwartzman - Sidoti & Company: And just isolating commodities, things, does your model assume things are stable here on out or what’s your thinking there.
David Sylvester : I would tell you the largest part is just relative to how our contracts work. A large part of our steel buy as an example is based on contracts that reset every 90 days and so as the market price has been coming down we haven’t realized the entire benefit associated with that lower market price until our contracts reset. So its largely based on that and then somewhat based on projections of stability for the next 90 days anyway.
Todd Schwartzman - Sidoti & Company: And then on SG&A, if Q1 does ultimately represent the revenue trough, how should we think about quarterly operating expenses going forward incorporating today’s latest announcement.
David Sylvester : For next quarter?
Todd Schwartzman - Sidoti & Company: For next quarter and the balance if you could speak for the balance of the year by quarter, and assuming that you do see volume ramp due primarily to seasonal factors.
David Sylvester : I’m hesitating because it’s a tough question. Again you’ve got COLI coming through the current quarter. I don’t know what COLI is going to be next quarter. We’d assumed in our outlook another modest few million consistent with what we would normally expect over the longer-term. And the other factor is as you think about operating expenses and margins go forward, you have to keep in mind that second column that we put on the webcast slide around restructuring actions, at some point we would imagine those coming back in which would effect our margins and our operating expenses. And again I don’t know yet exactly how much our employees are going to be able to deliver on continued cost control. So it’s a tough one for me to answer.
Operator: Your next question is a follow-up from the line of Matt McCall – BB&T Capital Markets
Matt McCall – BB&T Capital Markets : The earlier question on pricing, I think you said modest benefit in Q1 and its competitive out there, is there the potential for pricing to be negative year over year in Q2 or going into the back half.
David Sylvester : I’d say there’s potential but hard to imagine.
Matt McCall – BB&T Capital Markets : So your guidance assumes kind of that modest, flat to up modestly.
David Sylvester : Yes, I mean if you think about it, we’re continuing to try to move customers to the more recent price lists and then there’s increased competition obviously for fewer numbers of projects and the like. How those ultimately offset I don’t know exactly but its probably somewhat positive next quarter.
Matt McCall – BB&T Capital Markets : And so is the benefit I think as you anniversary that price, the price increase, will you still see those customers migrate so there’ll be incremental benefit in the back half as well.
David Sylvester : Potentially but to a smaller extent.
Matt McCall – BB&T Capital Markets : And then by segment you talked about I think, you talked about bringing the break-even down for the business, can you provide some granularity about what the break-even is going to look like across the three segments and so as we look at the different top line trends we can get a picture on the profitability.
Jim Hackett : We don’t disclose that for obvious reasons, but I want to leave you with the confidence that every one of the leaders of, all the leaders of those various businesses have participated in this improvement in the break-even. So there’s not any business that’s not addressed it or gotten better through this period.
David Sylvester : The only thing I would add is just picture as you think about our break-even, so we said approximately 600 in the second quarter leads to approximately break-even, that includes the benefit of the temporary reductions which are in the neighborhood of $35 million annualized. So very roughly speaking you would say if those things come back in you would imagine a $625 million break-even on a go forward basis. But you would have also expect that to come down somewhat because of the other more permanent actions that we launched this quarter, do you follow?
Matt McCall – BB&T Capital Markets : The $20 million.
David Sylvester : Yes.
Matt McCall – BB&T Capital Markets : Okay.
Operator: Your next question comes from the line of [Margo Murtagh] – Schneider Capital Management
[Margo Murtagh] – Schneider Capital Management : I wonder if you could provide a little more detail on what you’re doing in Europe, your restructuring plans there and also for the outlook in other, when you might get that to break-even.
David Sylvester : In Europe all I can really say is that we’re continuing to discuss with the various work counsels what opportunities we may be able to implement. And I have to leave it at that. In the other category we actually have implemented a number of restructuring actions across all of those businesses including even IDEO which has remained profitable throughout the downturn. But PolyVision has implemented a number of restructuring activities including the recent sale of the remaining part of the VCP business and we last year consolidated manufacturing activities within the Coalesse group which we think has a little bit of additional upside once we stabilize the disruption in those factories. But we have lost a lot of volume at the same time so its, it may require us to come out of the recession and rebuild a little volume before that whole group is back to positive.
[Margo Murtagh] – Schneider Capital Management : Would the sale of this PolyVision business, was that losing a lot so that you’re going to make some improvement just by selling that.
David Sylvester : It wasn’t that it was losing so much, it was that the margins were very low so we’re basically unloading some low margin [inaudible] business.
Jim Hackett : Yes, it’s a division in the brand.
Operator: There are no additional questions at this time; I would like to turn it back over to management for any additional or closing comments.
Jim Hackett : I just want to thank everyone for your attention today and as we started the discussion we think that Steelcase is a good company in really tough times and we look forward to reporting continued results to you. Thank you.